Operator: Welcome to Workday's Third Quarter Fiscal Year 2019 Earnings Call. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the call. And with that, I will hand it over to Mr. Mike Magaro, Vice President of Investor Relations. Please go ahead.
Michael Magaro: Welcome to Workday's third quarter fiscal 2019 earnings conference call. On the call, we have Aneel Bhusri, our CEO; Robynne Sisco, our Co-President and CFO; Chano Fernandez, our Co-President and; Tom Bogan, CEO, Adaptive Insights. Following Aneel and Robynne's prepared remarks, we will take questions. Our press release was issued after the close of market and is posted on our website, where this call is being simultaneously webcast. Statements made on this call include forward-looking statements regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q for information on risks, uncertainties and assumptions that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call, we will discuss non-GAAP financial measures which we believe are useful as supplemental measures of Workday's performance. These non-GAAP measures should be considered in addition to, and not as a substitute for, or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website. The webcast replay of this call will be available for the next 90 days on our company website under the Investor Relations link. Also, the customers page of our website includes a list of selected customers and is updated monthly. Our fourth quarter quiet period begins on January 15, 2019. Unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2018. And with that, let me hand it over to Aneel.
Aneel Bhusri: Thank you, Mike. Good afternoon, everyone, and thank you for joining our Q3 earnings call. I'm pleased to report that in our third quarter of fiscal year 2019, we experienced an acceleration in net new ACV growth. Our Human Capital Management business remained strong and we had a great quarter for our Financial Management suite of applications. Importantly, the business acceleration we enjoyed took place independent of the impact of the Adaptive Insights acquisition. Starting with HCM, we had another strong quarter as we continue to gain share in the market with an industry leading true cloud platform, the deepest product capabilities, an unparalleled user experience and the highest levels of customer success. In Q3, some of the new HCM customers we added include Bank of Montreal, Glencore International, and Piedmont Airlines, a subsidiary of American Airlines. We continue to land marquee accounts in part due to our proven ability to support our customers' large volumes of data and transactions, a capability that neither of our legacy competitors has been able to consistently demonstrate in the cloud. In Q3, we also saw accelerated growth for the Workday Financial Management suite of applications. Subscription revenue once again grew over 50% with net new ACV for core financials growing over 60%. We believe that a combination of our expanded set of offerings, the increasing acceptance of the cloud by the office of the CFO, and our ever-increasing cohort of financial customers in production are collectively driving broader adoption of our Financial Management applications. New Workday Financial Management customers in Q3 included the Atlanta Braves baseball, Spectrum Health, H & R Block, Fox, and a large U.S. based financial services organization. In addition to the strong growth from our core financial suite of application, Q3 was our first quarter with Adaptive Insights as part of Workday. I'm pleased to report we got off to a great start together, accelerating the pace of adoption of cloud planning with early success selling Adaptive Insights product to large enterprise customers. Indeed, the early feedback on the Adaptive business plan and cloud offerings from customers and prospects alike has been very positive with high interest and enthusiasm for the Adaptive offerings. And we are actively working on migrating many of our Workday planning customers to Adaptive. We're committed to unifying Adaptive Insights with Workday [indiscernible]. While we will continue to support Adaptive integrations with all ERP systems, we are on track to 12 to 15 month delivery of the Power of One which will benefit our customers with access to one source for data, one security model, one user experience and of course one Workday community that enables them to plan, execute and analyze on one platform. And lastly in Q3, we also experienced strong growth in our media segment of our business. As many of you know, we announced the Workday launch program last year which introduced fixed fee preconfigured application packages for U.S. based medium enterprises. Our ability to offer a full platform solution across HR, payroll and finance with lowered implementation costs have enhanced our already strong competitive position and accelerated our growth in that segment of the market. With the success of Workday launch in the U.S. we are now planning to take that program overseas in fiscal year 2020 to target medium enterprise businesses outside the U.S. Our momentum in customer success was best captured at our annual user conferences, Workday Rising in the U.S. and in Europe. Between our U.S. conference in Las Vegas last month and our European conference in Vienna two weeks ago, we welcomed more 13,000 attendees including almost 8,500 customer attendees representing approximately 1,700 organizations. At Workday Rising, we once again revealed our annual customer satisfaction rating which came in at 98%. As you hopefully know by now, customer success is a core value of Workday and the Workday team works hard every day to help our customers run their business more effectively and make better decisions along the way. On the product front, we continue to push technology and innovation with our most recent focus on embedding AI and machine learning as the fabric of the Workday platform. With Workday analytic, data, finance and HR systems, we're leveraging the acquisition of storage to offer Workday People Analytics, a new application that will give executives, organizational leaders and HR business partners a view into the most critical trends in their workforce and an understanding of the most likely drivers of those trends. It will leverage powerful artificial intelligence, machine learning and augmented analytics technologies to provide dynamically created metrics accompanied by explanatory narratives, what we call stories. Our customers continue to benefit from our continuous innovation cycle. During the quarter, we announced the availability of Workday 31 which among the many new features included skills cloud, a university skills that helps organizations cleanse, understand, and relate job skills data. We believe our investment in innovation and our people will continue to pay off. In the quarter, we were ranked number one on Fortune's Future 50 list which recognizes the world's most forward-looking innovative companies that are investing in the future. From day one innovation has been in [indiscernible]. From the products we built, culture we foster, we've always had our eyes on what it takes to launch our company and our customers and our industry into the future. And employees will always be our number one core value. Happy employees build the best product and make customers happy. On that note, I'm also pleased to share that Fortune and Great Places to Work announced this month that Workday is number three on the list of 100 Best Workplaces for Women. As we look to the future, we are firmly established our leadership in HCM where we differentiate ourselves through innovation, scalability and customer [indiscernible] and expect to continue to gain market share globally. And we are an early leader in cloud Financial Management with a strong set of offerings for CFOs who are looking to modernize their financial analysis and planning systems. Both HCM and Financial Management will continue to be the primary drivers of growth in the near term with the strong foundation for future growth drivers and Workday analytics, Adaptive Insights, business plan and cloud and the Workday cloud. All in all, a great quarter with strong momentum heading into Q4 and the year end. And now over to you, Robynne.
Robynne Sisco: Thanks, Aneel, and good afternoon, everyone. As Aneel discussed, we delivered strong performance in Q3 resulting in accelerated growth across our core business metric and giving us great momentum heading into year end. On today's call, I'll touch on the highlights from our third quarter, update our guidance for Q4, and provide a preliminary high level view of FY 2020. Given this is our first quarter with Adaptive Insights, we are providing an additional level of transparency during this call to assist in your understanding of how Adaptive Insights impacted our Q3 results across our key metrics. Internally, however we are not tracking Adaptive Insights differently from any other product so you should not expect us to guide or report planning metrics separately going forward. Instead, as with all key products, we will give you milestone updates as and when it makes sense to do so. For Q3, we delivered total revenue of $743 million, reflecting year-over-year growth of 34%. Our Q3 subscription revenue was $624 million, up 35% year-over-year. Approximately $4 million of the over-performance is attributable to the finalization of the deferred revenue haircut related to the Adaptive Insights acquisition. The remaining upside was driven by very strong performance across our product suite. Revenue outside the U.S. was up 47% to $170 million, representing 23% of total revenue. Subscription revenue backlog was $5.9 billion, growth of 31% year-over-year. Approximately $140 million of this increase or 3 percentage points of growth relates to the inclusion of the Adaptive Insights backlog balance. The remaining growth was driven by an acceleration of net new bookings growth, including a few deals that pulled in from Q4 and very strong renewals with net retention once again over 100%. Our 24-month subscription backlog was $4.02 billion or growth of 31%. Approximately $125 million or 4 points of growth relates to the inclusion of Adaptive Insights. Our non-GAAP operating profit for the third quarter was $49.7 million and operating margin of 6.7%. The margin upside from our guidance was primarily a result of the strong revenue performance. Third quarter cash flow from operations was $114 million. As we noted in our guidance last quarter, cash flow in the second half of this year is impacted by one-time acquisition related payments with a majority of the impact occurring in Q3. Total unearned revenue at the end of Q3 grew 28% year-over-year to $1.57 billion. Current unearned revenue was $1.46 billion, up 29% year-over-year. Our biggest investment continues to be in our people and in attracting top talent to Workday. During Q3, we successfully added and integrated over 1,000 net new employees, including over 500 from Adaptive Insights, bringing our total workforce at the end of the quarter to over 10,200. We are very pleased with our operational execution in Q3 and feel well positioned going into our historically strongest quarter. Now let's turn to guidance. The continued strength in our business is allowing us to raise our Q4 and fiscal 2019 outlook as follows. For subscription revenue, we're raising our full year estimate to be in the range of $2.375 billion to $2.377 billion or growth of 33%. We expect our Q4 subscription revenue to be $663 million to $665 million or 35% to 36% growth. We expect professional services revenue to be approximately $433 million in fiscal 2019 and $112 million in Q4. We therefore estimate that total revenue for fiscal 2019 will be $2.808 billion to $2.810 billion, or growth of 31%, with Q4 total revenue in the range of $775 million to $777 million, or growth of 33%. We are expecting non-GAAP operating margins of approximately 10% for both Q4 and the full year. The GAAP operating margins are expected to be lower than the non-GAAP margins by approximately 27 percentage points in both Q4 and fiscal 2019. Given strength in the business, we now forecast short-term unearned revenue to grow approximately 26% in Q4. We are maintaining our operating cash flow guidance of $550 million for the full year, but believe there may be some upside to that number depending on Q4 linearity and timing of collections. We are also maintaining our capital expenditure guidance for the year of $200 million for our owned real estate projects and another $200 million for all other CapEx. Please note that next year we will no longer be providing color around short-term unearned revenue growth rates. We did this in fiscal 2019 as a bridge until our peers transition to the new reporting requirements around remaining performance obligations, what we call subscription revenue backlog. While this new metric is not perfect, we believe it's a better gauge of the health of our business over the long term primarily because unlike unearned revenue and billings, it's not impacted by varying contractual invoicing terms. While we are early in our FY 2020 planning cycle and still have an important Q4 to close, we would like to provide a preliminary and high level view of FY 2020. We remain confident in our ability to sustain strong long-term revenue growth, given the secular market trends towards cloud adoption and our established leadership position. We are currently planning for FY 2020 subscription revenue of approximately $3.0 billion to $3.01 billion. We continue to expect pronounced and compounding seasonality towards Q4 with our Q1 being the seasonally slowest in terms of net new bookings. We would expect subscription revenue in Q1 of FY 2020 to grow approximately 4% sequentially from Q4. We continue to prioritize growth over margin expansion and have made and will continue to make significant product and other investments next year and beyond. While FY 2020 still faces some margin headwinds from the Adaptive acquisition, we do expect to return to more normal levels of operating margin expansion. We are currently planning for FY 2020 non-GAAP operating margins of 12%, which represents an estimated 200 basis point improvement year-over-year. With that, I'll close by thanking our amazing customers, partners, and employees for their continued support and hard work which allowed us to deliver great results in the third quarter and have set us up for a strong finish to the year. Operator, let's now begin the Q&A process.
Operator: [Operator Instructions] Your first question comes from the line of Brad Zelnick from Credit Suisse. Your line is open.
Kevin Ma: Thank you. This is Kevin Ma on for Brad Zelnick. Congrats on the quarter, guys. I just wanted to ask on Pro services, that reaccelerated pretty substantially this quarter, even taking out what you originally guided for the Adaptive acquisition. Can you give any color on how much of that was from incremental synergies and uptake from financials or any other drivers.
Aneel Bhusri: Yeah, so what you see in the Pro serve growth is kind of seasonal patterns that are pretty normal for us. That number can ebb and flow based on the number of implementations going on at any given time, how many of those we're priming, so really just normal levels of growth there.
Kevin Ma: Got it. Okay. That's it from me. Thank you.
Operator: Your next question comes from the line of Mark Murphy with JPMorgan. Your line is open.
Aneel Bhusri: Mark, are you there?
Michael Magaro: Next question, please.
Mark Murphy: I'm here. Yeah, I was trying to ask you on the platform deals that our field work has been showing a real increase there on the deals that include both HR and financials, and it's been not only in the mid-market but also in the portion of enterprise that kind of gets up towards 10,000 or 20,000 employees. So just curious from what you're seeing how tangible is that trend toward the platform purchases if you look at the bookings mix? And then when you take a look at the pipeline for next year, do you see that accelerating in terms of the platform consideration?
Aneel Bhusri: Well, there's no question that for medium enterprise buyers, really for the last several years that the platform solution is a really popular solution. They need to move HR and finance to the cloud. They would prefer not to have two different systems. They would rather have one unified system. And now what we're seeing is that trend begin to move up market, probably more driven by financials moving up market. And so I would expect that to continue and to become a bigger part of our business. Tom, anything to add?
Tom Bogan: No, I think that's correct. Hi, Mark. From a perspective, the financials management continues to grow as a percentage of the mix. Although give of course sustained solid growth in HCM, the mix shift is moving slowly.
Mark Murphy: Okay. And Chano, if I may, just a quick follow-up. I think at Rising you commented that the pipeline was particularly strong for Q4. So I think it's a little surprising to see kind of the blowout results in Q3. Is the confidence in Q4 equally high, or were the deals that pulled into Q3 material enough to kind of change that Q4 setup at all?
Chano Fernandez: Thank you, Mark. I think we commented we pulled in some business forward from our Q4 quarter but we have similar levels of pipeline coverage as of last year, so I think it's going to be a question of execution. It's still early in the quarter. But we're positive about the outlook.
Mark Murphy: Thank you very much.
Operator: Your next question comes from the line of Keith Weiss with Morgan Stanley. Your line is open.
Sanjit Singh: Hi. This is Sanjit Singh sitting in for Keith. Congrats on a really strong quarter. I had two questions. First on international, on the 47% growth there, seems like that's getting a lot of momentum. Aneel, you mentioned about the opportunity to further penetrate the mid-market, but any sort of color you can provide on what's driving the strength in the international side of the house, whether it's new HCM wins or further expansion of the base. Any detail there would be appreciated.
Aneel Bhusri: I'll turn that question over to Chano.
Chano Fernandez: Thanks for the question. We are happy with the momentum in the international business, the foundation that we had created, the strong customer visibility and we had a hugely successful rise in Europe Vienna. Our footprint across Europe and Asia really is still expanding. It's early days as those markets are behind the U.S. in terms of cloud adoption which is clearly a great opportunity over time. I believe there are a couple of emerging geographies where we still have work ahead of us in terms of establishing consistency, but we are very focused on improving the great opportunity ahead of us in international.
Sanjit Singh: I appreciate the comments, Chano. Maybe as my follow-up, Aneel, you mentioned that ACV growth of 60%-plus in Financial Management, ahead of revenue growth. To me, I know we've been hesitant to call this out before, but it felts like a bit of inflection, and I wonder how you were sort of interpreting the strong Financial Management performance this quarter. Does this feel like a different type of environment for Financial Management versus some of the previous times when we've seen a bit of an uptick and then maybe a little bit of a leveling out. Any sort of comments there.
Aneel Bhusri: Well, I'm going to be careful to not draw any conclusions from one quarter. We have been growing the business at over a 50% clip on the subscription revenue side now for quite some time. The medium enterprise business continues to be very strong for financials. I think sometimes people discount how good that opportunity is for us, not just in the U.S. but across the globe. And we are continuing to see the move amongst large enterprises. I won't say that all Fortune 500 accounts are showing up at once, but the rate of Fortune 500 accounts showing up to evaluate financials for the cloud is definitely picking up. So ask again after every quarter and we can start looking at patterns, but I don't want to draw any conclusions just out of one quarter. But very pleased. I do think that one of the things that CFOs are paying attention to by nature, a fairly risk averse crowd, we're now over 500 customers who are using Workday Financials and I think 70% of them are live and in production. And so now there is a cohort of very happy customers using the system to close their books and run their business. So CFOs can ask their peers about Workday and financials in the cloud, and a few years ago, that was a much smaller universe of companies you could talk to.
Sanjit Singh: Thank you very much.
Operator: Your next question comes from the line of Justin Furby with William Blair & Company. Your line is open.
Justin Furby: Thanks, guys. Can you hear me?
Aneel Bhusri: Yes, we can.
Justin Furby: Okay. Great. I guess just – hi. I just wanted to follow up on the financials commentary. I guess if you look competitively, Aneel or Chano, how do you feel about sort of your win rates in that market versus what you see on the HR side of things? And I'm curious – I know it's pretty early were Adaptive, but what the conversations have changed at all now that that business is inside of Workday and how that changes the dynamic, particularly in the enterprise, if it's changed at all yet.
Aneel Bhusri: So on the first one, our win rates are relatively similar for HR and finance, and that's been the case for quite some time. In the finance market, there are – the only overlap and really main competitors in finance is Oracle. SAP doesn't have a product in the cloud. Ultimate is just an HR competitor and we see NetSuite less and less. So it is a slightly different competitive landscape but our win rates are pretty similar. In terms of Adaptive, there's a high degree of interest amongst the Workday enterprise customers and Adaptive Insights. Not just the ones who had already signed up for planning, but ones that are HR customers, maybe not quite ready to switch out core financials but looking at planning as a first step to moving financials into the cloud. So Tom and I couldn't be more thrilled as to how the Adaptive products are being received by the historical Workday customer base. Tom, you want to add anything to that.
Tom Bogan: Yeah, I think that's right, Aneel. I think both the receptivity on the part of the Workday customers who bought planning and the conversations we've had with them in terms of moving to the Adaptive platform. But I think from an Adaptive perspective what we've seen is a lot of interest in the Workday large enterprise customer base. And we've had a number of conversations, there's certainly in many cases in the early stages but they've been extremely constructive and we're very optimistic about the potential to grow that business as we move forward.
Justin Furby: Okay. Great. Super helpful. And then just as a follow-up, either for Aneel or Chano. I know you've been sort of throttling the selling effort on Prism this year. When you look out to next year, I’m just curious sort of what your expectations are there. And then student is one that I don't know if we talked about in some time but it seems like that's getting closer to a market that's starting to inflect and curious sort of those two products, Prism and student and how you think about them for next year. Thanks.
Aneel Bhusri: So I would say on Prism we're less and threat throttling our willingness to sell. It's much more about making sure that the use cases fit where we are with the products. But the product line is one of the fastest growing product lines from a net new ACV perspective we've ever seen. Can I say what numbers, Robynne.
Robynne Sisco: Triple digits.
Aneel Bhusri: Triple digit year-over-year growth. And as we begin to mature the capabilities and grow the use cases, we honestly expect that to continue and as we've done some analysis, we've had one of our long-time strategy folks, Derek Butts, do some real analysis on many of our new initiatives. And one of the surprises was the upside we see on the Prism business as we turn an offering into a product line and people analytics is one of those first steps into turning it into a product line. There's a clear path to building a billion dollar business there on Prism that might not have been as obvious to us a little while ago. In terms of student systems, we're very focused on getting the first four or five large universities into production and after that we can think more about scaling the business. But that's where we are right now, very focused on building out the capabilities and getting those large universities live in the coming quarters.
Justin Furby: Super helpful. Thanks, guys.
Operator: Your next question comes from the line of Alex Zukin with Piper Jaffray. Your line is open.
Alex Zukin: Hey, guys. Thanks for taking my question and congratulations on a really strong quarter. Just two from me. So maybe first, Aneel, on financials, can you talk about the activity around selling into the HR base versus net new logos? And then as you think about the pipeline for both 4Q and next year, how do you think about it in terms of -- or how does it compare in terms of the mid-market financials versus the enterprise financials business? And then I have a quick follow-up on Adaptive.
Aneel Bhusri: So it’s basically additional HR into HR.
Robynne Sisco: Well financials into the HR customer base.
Aneel Bhusri: And I think and additionally HR into HR.
Chano Fernandez: Yeah. Hi, Alex. This is Chano speaking. Regarding financials into our customer base, we are very happy with the progress there. We clearly have the mapping within our key verticals, and I would say we have great engagement with the majority of the customers. Clearly, how are those going to be folding on particular quarters is yet to be seen, but the progress is on a positive track. In terms of our HR add-on business or additional extensions of the product set into the customer base, if I understood your question correctly, I would say that since the of the go-to-market customers based on this year, we have seen a good acceleration of business there. Especially after our customer base is more significant and is growing, and particularly taking advantage of being a happy customer base.
Alex Zukin: Got it. Thanks. And maybe just on the pipeline, just finishing up on that, the second part of that question in terms of financials on mid-market versus enterprise.
Aneel Bhusri: I would say both are similarly -- basically similar percentage or similar mix as we've been having before. So there is good activity in both levels. Clearly since our launch of our go-to-market into medium enterprise launch activities, the medium enterprise has been taking significant traction in terms of the offering and not only the subscription but basically the implementation, fixed fee services and we're taking time to value there, really shortening and really good customer base and basically reference ability. So that is tracking very well. We continue to do well in terms of the large enterprise momentum and activity, both in the U.S. and internationally.
Alex Zukin: Perfect. And then Robynne, just a quick follow-up on Adaptive, if I may. Is it possible to get just the contribution to subscription revenue, revenue and deferred revenue and unearned revenue in the quarter from Adaptive.
Robynne Sisco: If you'll recall, last quarter we did talk about what we thought the contributions from Adaptive would be in terms of subscription revenue and we were $4 million ahead of that number this quarter because of the finalization of the deferred revenue haircut which came in lower than we had originally anticipated. We mentioned also at the time last quarter that we expected Adaptive to contribute $22 million in Q4. That number would now be $25 million with the change in the haircut value. But we're actually not going to be updating those numbers now or going forward because as you can imagine, given the cross-selling of the product across both companies, the lines have really already blurred in terms of what's purely Adaptive and what's organic Workday so we don't think that makes sense to break out anymore. In terms of unearned, we also gave color last quarter that we expected 25% short-term unearned growth for Q3 and Q4, 3 percentage points of that were attributable to Adaptive and including their balances into our balance sheet and so all of the upside from that, both the 29% we delivered this quarter and the 26% we're guiding for next quarter is strength across our product suite that we're expecting.
Alex Zukin: Understood. Okay. Thank you so much. Congrats again.
Operator: Your next question comes from the line of Ross MacMillan with RBC Capital Markets. Your line is open.
Ross MacMillan: Thanks so much. Congrats from me as well on the super strong numbers. And Aneel, I'm curious your HCM momentum remains very strong and you made commentary I think back at the management team made commentary at Rising about how much was still left in the Fortune 500 Global 2000 and I just wondered from your perspective how do you think about the durability of that HCM business in terms of sustaining what you would like to see as a target rate of growth.
Aneel Bhusri: Yeah, I think it continues to be a very healthy business. We're not quite yet at 200 of the Fortune 500. We're at 50% of the Fortune 50. I think we can do a lot better. Without being negative on our competition, the reality is they don't have proof points of large companies in production and we're beginning to where we continue to see the network effect of large companies who are happy with Workday, referencing to other large companies who haven't made a choice yet in the cloud. So I think there's still a lot of opportunity for us especially as you get outside North America where depending on the geography, they're three to five years behind in cloud adoption and they're looking across the globe to see what their peers have done. A multinational thinks like a multinational, independent of where they're based and they want to have successful deployments and as you look at the multinationals in the other geographies and they see a lot of successful Workday deployments it's impacting their decisions. So there's still a lot of opportunity in front of us. I'd add the other piece, what we saw in Q3 with the success of medium enterprise, really accelerating growth as well with the Workday launch program, reducing the cost of implementation, most of the world outside of the top -- the largest 10 countries, most of the world is a medium enterprise world. Even in markets like Germany, the bulk of the economy is driven by a group called the middle stat, basically the bulk of the economy are medium enterprise companies and now that we've got a better cost story there on the implementation side I think it opens up that opportunity as well.
Ross MacMillan: That’s great. And just a follow-up, Robynne, just you mentioned a few things that impacted the strength in the quarter, net new bookings accelerations, some deal pull-forward and then renewals. Just on renewals, were you saying renewals that pulled forward or just renewals were at very healthy levels, maybe were larger? What was the implication you were trying to drive on renewals. Thank you.
Aneel Bhusri: Yeah, just renewals that came up within the quarter were very strong and we continued to meet or exceed our target of 100% net renewal and 95% gross renewal so we're very pleased with our renewal performance in Q3.
Ross MacMillan: That's great. Thanks so much, and congrats again.
Operator: Your next question comes from the line of Richard Davis with Canaccord. Your line is open.
Richard Davis: Hey, thanks. So we sent our guys out in the field to talk to some of the vendors and stuff, and we were asking about like digital transformation and stuff. What was interesting was they couldn't really -- we got different definitions of it, right. And then the other question that we had, we asked was when they did have troubles with that, the biggest hang-up was when HR and finance were not working as a team. So Aneel, you've been around long enough to see this before as a whatever, reengineering problem. Where are we in that process in the market in terms of educating people on this? It's more than cloud but where do you draw the line and where do you pull in your systems integrators and how do you see that evolving? Thanks.
Aneel Bhusri: I think in particular -- it's a great question, Richard. In particular, in companies that are not manufacturing companies but people based industries, HR and finance need to work absolutely hand in hand. Because the biggest asset and the biggest expense for these companies are their people. So we definitely see that as a big advantage for us and we see companies beginning to leverage what they did in HR, say hey, we've already got the work structures in place. We've got the security model in place, why not look at Workday first for financials and we would have all the unified reporting and analytics we would like and then you throw in Adaptive planning and we've got effectively our business operating system all working together. So I think it's beginning to play that way. And for companies that haven't chosen to do HR until now, they're definitely looking at HR and finance together where five years ago people were just not doing that, they were just looking at HR. So I do think that that digital -- digitization and reengineering as both product lines become market ready or have been market ready happening together is a real positive trend.
Richard Davis: Great. That's super helpful. Thanks, man.
Operator: Your next question comes from the line of Kash Rangan with Bank of America. Your line is open.
Kash Rangan: Hi. Thank you very much. Congratulations on a fantastic quarter. I guess I'll ask a macro question, since I assume it's not been asked. So Aneel, I think last year or maybe two years back, you were rightly prophetic in caution that you saw going into Q4 results and ended up that the business environment was largely more supportive than we all feared and we had a nice two-year run. Now we're back again at those kinds of crossroads with a similar list of topics that are not pertinent necessarily to Workday but to investors keep wondering is this good stretch of results can really sustain the momentum going into calendar 2019. Since you have the purview of talking to decision makers, CFOs, CEOs, that really -- your product touches practically millions and millions of end users. What is your feel for what's on the minds of CEOs and CFO as they prioritize Workday and their budgets for calendar 2019, what are the things you're hearing from your customers specifically?
Aneel Bhusri: I generally hear that business is good and the uncertainty in the global political environment gives them pause. And I just don't know how much of what gives them pause is just rhetoric. Some companies are worried about the aspects of a potential trade war. So will that factor into the way they're thinking? Right now it seems like bluster back and forth. So I would say if you just separated out the business cycles, it still seems like we're in a good part of the global growth economy cycle. It seems like most economies are doing well. I think Europe is doing surprisingly well based on what people expect it to be doing. But there's this hangover of uncertainty coming from the political environment that's not just limited to the U.S. but somewhat happening everywhere and I don't think any of us really know what -- how to factor that in or predict it. So I would say stay tuned. And right now, we're just trying to ignore it and the world -- the new normal in the world is political volatility and hopefully it doesn't have a huge amount of impact on our business.
Kash Rangan: Congrats on the results. I'll yield to the next question. Thank you very much.
Operator: Your next question comes from the line of Scott Berg with Needham. Your line is open.
Scott Berg: Hi, everyone. Thanks for taking my question. I guess I just have one at the moment. I don't know if Aneel or Chano wants to take it, but can you tell us about some of the lessons you've learned with Adaptive in the portfolio today with regards to how it can help you sell financials going forward? I know we all know it's going to help that platform generically over the next two to three years as customers become more comfortable with that entire ecosystem, but is there may be a direct tie that you can tie it from one to the other.
Aneel Bhusri: Well I’d say the number one takeaway so far is our companies have very, very – we hoped they had very similar value systems and cultures, and they do. And if you look at the history of acquisitions in the technology field in particular, I think that's the biggest determinant of success and failure. So from that part, the two companies are working extremely well. I think largely the thesis that planning was going to open the doors for Workday have played out and the other thing that we knew going in is that Adaptive planning was far ahead of Workday planning, has turned out to be true which is why we put all of our eggs in the Adaptive planning basket and why we're moving capabilities like sales planning and Workforce Planning to Adaptive. It's all played out and what we were hoping to see was interest in large enterprises in the Adaptive product who had been historically Workday customers and all those things have happened. So Tom and I were talking about it earlier today. It's really played out the way we had hoped to play out and that's not always the case with two companies coming together. So feel very fortunate. You want to add anything, Tom.
Tom Bogan: Just that there's -- we continue to have momentum. We added approximately 200 new customers this quarter and we agree that there's a great opportunity to sell financials behind that. Most of those customer additions are stand-alone customers but we've also seen a lot of resonance, a lot of interest as I said earlier in existing Workday customers and the opportunity to sell Adaptive to those customers.
Scott Berg: Thanks for taking my question.
Operator: Your next question comes from the line of Kirk Materne with Evercore. Your line is open.
Kirk Materne: Thank you very much. I'll add my congrats on the quarter. Maybe actually for Tom, just a follow-up on that line of thinking around the 200 customers you have. Seems to us talking to a lot of the partners in the field that right now planning is something that CFOs are very engaged in talking about. Is there any way that you can sort of give a, I don't know, a guesstimate or sort of your thoughts on after someone buys into planning or connected planning vision, how long after that do you think they're ready to make another decision around financials? It seems like an incredible way for you guys to have just that more much more dialogue with CFOs and ultimately so that when ultimately they decide to move their general ledger to the cloud you're involved in that account. I don't know. I'm trying to get a sense on is there a six to eight quarter lag before they're ready to make another decision in financials or can it come faster based on some of your experience or your conversations?
Tom Bogan: I think we do see the thesis companies are willing to move to a cloud-based planning system earlier than perhaps they are financials. We do see that playing out. So we're very encouraged by the conversations we've had with customers and prospects around moving their planning to the cloud. I think the decisions around when they're ready to move their financials to the cloud are really dependent company to company. And while I agree that there are opportunities, particularly when we have satisfied customers and we do an effective job of engaging with those customers, we believe that will result in follow-up on opportunities in financials but Chano, I'd say that the timing is probably a little bit more customer situational.
Chano Fernandez: I agree, Tom. Kirk, I think the most important thing is the feedback we're getting from our prospects and customers so far regarding the capabilities and scalability of the Adaptive planning cloud is super positive. That's the thing that is really relevant. If you think it's -- it's early days but we had a quarter where we were in double digits planning customers over 10,000 employees, clearly some of those are not yet financial customers but we expect that some of those are going to see time to value and planning in four to six months time frame cycles of implementations. I think we'll be in a great position to go back and have a discussion about our point of view and why it makes sense to extend and there is good business value and benefits in taking on to the full financial platform. But it's early days so I guess we'll be learning but we're very excited how that's looking.
Kirk Materne: And maybe just one follow-up actually on financials which seems to be building some momentum. I guess when you look at the acceleration in that, is there any one particular vertical that seems to be sort of taking off in front of some of the others? I know you guys have nine that you focus on. Are you seeing a lift kind of across all nine, or are a few kind of pulling ahead based on either just more customer references in those? I'm just kind of curious if the entire sort of strategies moving ahead or there's a couple that are going to be sort of lead dogs in this movement longer term. Thanks.
Chano Fernandez: Well, financial services has definitely begun to pick up. There's no question about that. Business services was already an interesting segment as was the tech segment. But financial services has been slow to move to the cloud and not just for finance but for HR. I'd say that's the area that's picking up very nicely and that's a huge market for financials.
Aneel Bhusri: The other one I would say, Aneel, core verticals on health care. Has been clearly PSA professional services, automation around more business services, that seems to be performing really well given now the strength of our solution portfolio there.
Kirk Materne: Super. Thanks so much.
Operator: We will take our final question from John Di Fucci with Jefferies. Your line is open.
Samad Samana: This is Samad Samana on for John. Just a couple questions. First, you mentioned the acceleration in net ACV. I was wondering if you could give us some additional color on whether it accelerated, when you look at it broken out for mid-market and enterprise and maybe by Geo and then did it accelerate both for HCM and financials and then I have a follow-up question.
Aneel Bhusri: All of the above.
Samad Samana: Okay.
Aneel Bhusri: Accelerated across the board.
Samad Samana: Okay. Great. Thanks for that. Just one follow-up. I think at Rising Europe in the Q&A I think Aneel you mentioned a that the company had 100 customers for Prism already and about half of those are in production. I'm curious if you started to see any type of patterns emerging in terms of what type of customers adopting it, are they more platform oriented on Workday already, are they mostly HCM only, anything bit vertical or by size, just something to maybe help us understand who the adopters of that is. Looks like it's up considerably year-over-year.
Aneel Bhusri: Why don't we come back to you on that with a more thoughtful answer. Right now I'd characterize it more as early innovators in a new product category. They're all finance -- HR customers but there's quite a few finance customers as well. And what we're seeing is the opportunity to bring in third party operational data to do analysis so health care has been an interesting space for us. They bring in patient data or procedure data to do the analysis with HR and finance data as well. So let us come back to you with a more thoughtful response. I don't think it's a big enough sample set yet to draw any big conclusions. The big conclusion I draw is that it's across industry and across product line so far. So it's what we like it to be. We're not seeing any areas where it's not interesting.
Samad Samana: Great. Well I appreciate you taking my questions and congrats on an awesome quarter.
Aneel Bhusri: Thank you.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This will conclude Workday's third quarter earnings call. Thank you again for joining us.